Operator: Welcome to the Orion Marine Group, Inc. second quarter 2008 earnings conference call. (Operator Instructions) For opening remarks and introductions I would like to turn the call over to Christopher DeAlmeida.
Christopher DeAlmeida: Welcome to the Orion Marine Group second quarter 2008 earnings conference call. Joining me today are Mike Pearson, Orion Marine Group’s President and Chief Executive Officer; Mark Stauffer, our Executive Vice President and Chief Financial Officer and Cabell Acree, our Vice President and General Counsel. Regarding the format of this call we have allocated about 15 minutes for prepared remarks in which Mike will give an update on Orion Marine Group, followed by Mark who will give present our second quarter results in more detail. We will then open the call up to questions for the remainder of the time. During the course of this conference call we may make projections and other forward-looking statements regarding, among other things, our end markets, revenues, gross profits, gross margin, EBITDA, backlog, projects and negotiation of pending awards as well as our estimates and assumptions regarding our future growth, EBITDA, gross margin, administrative expenses and capital expenditures. These statements or predictions are subject to risks and uncertainties that may cause actual results to differ materially. Moreover, past performance is not necessarily an indicator of future results. By providing this information we undertake no obligation to update or revise any projections or forward-looking statements whether as the result of new developments or otherwise. Please refer to our earnings release issued this morning, August 7, 2008 which is available on our website for additional discussion of risk factors that could cause actual results that could cause actual results to differ materially from our current expectations. With that I’ll turn the call over to Mike Pearson, President and CEO.
Michael Pearson : Thank you Chris. Good morning and thanks for joining us. Despite some challenges in the second quarter we did achieve good overall results and we improved our EBITDA margins over 2007’s second quarter results. We are very pleased on our performance on projects that involve bridge construction, marine docks outfall pipelines and maintenance of marine facilities during the quarter. Additionally we continue to be pleased with the addition of Subaqueous Services and its contribution to our results. For the quarter we reported revenue of $67.1 million. This is an increase of 30.3% year-over-year while delivering good second quarter EBITDA margins of 13.8% which were up slightly year-over-year. As we previously announced, our second quarter EBITDA was impacted by cost overruns associated with production issues that we identified on two dredging projects on the western Gulf Coast which we did complete during the second quarter. Still, our team worked hard to overcome these challenges and continued to deliver good EBITDA margins. Overall, I feel we had a good quarter and I’m proud of our team’s efforts and focus. Before I turn the call over to Mark to discuss the quarter’s financial results in more detail I want to spend a minute updating you on what we are seeing in the current competitive environment and our outlook for the remainder of 2008. Also, I want to say a quick word regarding the weather here in Houston earlier this week. As you know, tropical storm Edouard made landfall east of Galveston, Texas on Tuesday morning and involved winds in excess of 60 mph and heavy rain. As with any storm, we activated our hurricane plan and secured all our job sites along the upper Gulf Coast and while this storm caused a short disruption of these jobs it did not cause any major damage to the job site or our equipment. All of our jobs are now back up and running and we do not expect this will have a material impact on our third quarter results. Now turning to our outlook. As we have said all along we have solid end markets that are well funded. We have good drivers for continued long-term growth. As we look over the next few years we expect our end markets will continue to see robust bidding activity as port expansion continues, U.S. infrastructure is updated and the cruise industry continues to expand. Specifically for the remainder of 2008 we expect to see continued strength in our end markets that should provide adequate revenue opportunities to meet our full year 2008 top line revenue goals and the growth was 28-32%. However, while the U.S. Army Corps of Engineers has begun releasing projects in the third quarter we believe the pace of projects involving dredging services to be released and the resulting margin pressure in the western Gulf Coast market will limit our ability to fully recover the negative margin impacts from two dredging projects I mentioned. As a result, we now expect our full year 2008 EBITDA to be in the range of 14-16% which is lower than our initial goal of 17-19%. Looking beyond 2008 we believe dredging projects that are being deferred today will become bid opportunities in future periods for the ongoing maintenance of the Gulf Coast infrastructure. In addition, we expect our end market strength will continue and we remain comfortable with our goal of long-term annual top line revenue growth averaging 15% while achieving average annual EBITDA margins of about 18% over the long-term. Of course as we head into 2009 we will continue to keep a watchful eye on the competitive landscape and the general economy to see if there are any developments which could impact margin or revenues. In closing, despite the short-term pressure I just spoke to, we remain one of the margin leaders in the industry and continue to have good long-term revenues and [margin] drivers. Additionally, our business remains solid with a strong balance sheet and solid end markets. With anticipated opportunities for growth through both organic expansion, establishment of new green field offices and potential acquisition opportunities. As always we continue to execute our growth while focusing on long-term shareholder value. With that I will turn the call over to Mark Stauffer to discuss the quarter’s financial results in more detail. Mark?
Mark Stauffer: Thanks Mike and thanks for joining us. As Mike mentioned we faced certain production challenges in the second quarter that as previously announced made an impact on our gross margin and therefore our net income. Net income for the second quarter 2008 was $2.4 million or $0.11 per diluted share as compared with $2 million or $0.11 per diluted share in the prior period. Without taking away from Mike’s comment about margin pressure, I would like to remind investors that there can be fluctuations in quarter-to-quarter results due to the timing and mix of projects. For this reason we suggest investors focus on the long-term and annual results rather than quarter-to-quarter fluctuations. Of the $67.1 million in contract revenue for the second quarter 45% was generated from federal, state and local government agencies with 55% coming from private industry. This compares with 56% from federal, state and local government agencies and 44% from private industry for the second quarter 2007. Gross profit for the quarter was $9.8 million, down $1.2 million from the prior year while gross profit margin was down 6.8 points to 14.7% primarily as the result of the two projects we mentioned earlier. General and administrative expenses for the second quarter 2008 were $5.7 million which represents a decrease of $1.5 million compared to the prior year period primarily due to one-time 144A transaction expenses in the second quarter of 2007 partially offset by second quarter 2008 amortization of intangible assets acquired from Subaqueous Services as well as increased public company expense. As we have said before, we expect full year 2008 SG&A expenses will be up year-over-year due to contract amortization from the Subaqueous Services acquisition. As of June 30, 2008 backlog was approximately $152.1 million which is up 26.1% or $31.5 million year-over-year. Given the typical duration of our contracts which range between 3-9 months, our backlog at any point in time usually represents only a portion of the revenue we expect to realize during a 12-month period. Therefore it is not uncommon to see fluctuations in backlog sequentially or even year-over-year comparison. As a reminder, we cannot guarantee the revenue projected in our backlog will be realized or if realized will result in earnings. As of June 30, 2008 we had cash on hand and availability on our revolving line of credit of approximately $22.3 million. In addition we have another $15 million of liquidity available to the company at the discretion of our lenders. To sum up we continued our solid financial performance during the quarter despite the challenges we face. Without the impact of the two dredging projects we discussed our results for the quarter would have been in line with our expectations. As Mike mentioned we had strong performance on projects involving bridge construction, marine docks, outfall pipeline construction and maintenance of port facilities during the quarter. Overall we remain optimistic about our long-term outlook while we continue to work hard to deliver long-term shareholder value. With that I’ll turn the call back over to Chris to begin the Q&A portion of the call.
Christopher DeAlmeida: Thank you Mark and Mike. We would now like to open up the call to questions. Operator would you please review the process and procedures for placing a question?
Operator: (Operator instructions) The first question comes from the line of Fred Buonocore – CJS Securities.
Fred Buonocore – CJS Securities: I just wanted to touch base on the core dredging projects. Could you characterize maybe and quantify in some way the projects that actually have come out in Q3 and maybe give us a sense for what these projects represent as the whole or what you are expecting to come out over the next several months and quarters?
Michael Pearson : First of all let me speak to the first half of the year. It was pretty quiet with the Corps the first six months of the year. It has been very slow in Q2. But, we are identifying now numerous projects the Corps has advertised for solicitation and just in raw terms just for the Corps alone we expect about $75 million of Corps projects to be bid on between now and the end of the year. That’s just on the western Gulf side. I would point out the eastern Gulf and eastern seaboard has been much more active with dredging prospects but it is all non-Corps. It is private.
Fred Buonocore – CJS Securities: So you think that is $75 million to be bid on between now and the end of the year. Your win rate tends to be, can you remind us, the 30% range?
Michael Pearson: We average about 25% to date this year.
Fred Buonocore – CJS Securities: You said what is going on with the eastern Gulf and the east coast is largely private dredging? That sounds like it is kind of a good thing. Can you determine at this point if the increase in your private industry as a percentage of your total revenue is actually a trend or is this just something that is anomalous during the quarter?
Michael Pearson : Well, we have certainly seen a shift to the private sector. One of the good things about having as many end markets as we have is we go where the work is and where we can maintain the best margins. With being a political season it is much easier to find opportunities in the private sector. The issue with the Corps is the pace with which they put out bids. We have no control over that but I’m very pleased with the private sector dredging opportunities that we are now beginning to see as a result of diversifying our equipment mix on the eastern seaboard for this very reason so we wouldn’t be provide dredging just for the Corps.
Fred Buonocore – CJS Securities: In terms of the Texas DOT have you seen any change there? I know they have been putting on a big budget surplus but haven’t really been letting that out as it relates to projects you can work on. Has anything changed there?
Michael Pearson: There is not any significant change. Again, I refer to the issues going on in Congress right now. With this being an election year they are causing some apprehension I guess as to getting [safety] to finalize for 2009 and beyond. Some of the good things we have seen take place is the government has now approved a $4.5 billion budget for the highway program and that is on the bridge side to study the condition of bridges and prioritize bridges and determine which ones need to be replaced or repaired and that is a very important thing for us to see happen because it just means they are going to tee up bridge construction work as a priority over regular road and highway maintenance. So I am pleased about that. But getting back to Texas itself if you just look at it with what is on the table today it would appear that Texas DOT is headed for a budget shortfall of about $859 million but we looked at a recent Texas DOT commission meeting that took place in June and from the transcripts we have read we believe everyone feels that the U.S. government is going to eventually find a way to fund any shortfalls especially in light of the 2010 re-authorization which is basically renewal of the safety loop. I think things are beginning to line up that will look good for our type business.
Operator: The next question comes from the line of Jack Kasprzak – BB&T Capital Markets. 
Jack Kasprzak – BB&T Capital Markets: I guess Mark did allude to this in his comments but I just want to make sure I understand the impact of those two problem projects in the first half of the year. Basically, if those projects had gone according to original design or plan is it right to say the EBITDA margin the first half of the year would have been in that original guidance range of 18% or so? Is that the sort of impact we are talking about?
Mark Stauffer: Jack I would answer it this way. Of course we didn’t hit the goal by quarter for the first half of the year. Our goal was stated for the full year but I would say that if those projects were normalized and of course we quantify the impact of those impacts earlier in the 8K then we would be pleased with the first half results.
Jack Kasprzak – BB&T Capital Markets: Can you tell us or some order of magnitude over time what percent of your backlog now is dredging versus two or three years ago when the Army Corps budget had peaked? Can you give us some order of magnitude of how far down it has come?
Mark Stauffer: If you look just at the Army Corps piece for the quarter I think the federal share of the overall was down about 10%. Of course the predominant amount of that federal work we did have the USDA job going on in the quarter but the rest of that would have been predominantly Corps. So that is down from historical perspectives but I would say in general because we are also looking at private sector projects on the dredging sides and also the addition of Subaqueous I would say it is still projects involving dredging services are in or about the same range as they have been historically. It is just it may be shifting a little bit from federal or local to private. But the makeup is probably about the same.
Jack Kasprzak – BB&T Capital Markets: So otherwise you guys thought the percent with the Corps picking up the second half of this year the percent of dredging work would go higher than it has been historically?
Mark Stauffer: I think what we are saying there is depending on the pace of the projects that come out with the Corps and the margin pressure that kind of goes hand-in-hand with the pace, that is where we expect to see the impact.
Jack Kasprzak – BB&T Capital Markets: These dredging projects from the Corps, do these vary in size widely or are they generally of similar size?
Michael Pearson: They vary in size. I guess as an average anywhere from 1-5 and there are some that are bigger, 15-20 if they are out in the deeper depths. But bread and butter it is kind of 1-5. Another comment I would like to reiterate. I think we were a little surprised with the slow pace in Q2 with the Corps. Compared to prior years it just seemed to be a very quiet period.
Jack Kasprzak – BB&T Capital Markets: Generally those are smaller projects. You wouldn’t announce those individually so we wouldn’t necessarily know during the quarter if you were winning more Corps dredging work because those aren’t projects you would announce?
Mark Stauffer: Generally speaking we wouldn’t although I would say that is public information. We wouldn’t necessarily announce them.
Jack Kasprzak – BB&T Capital Markets: Public from the Corps right?
Mark Stauffer: Yes, public from the Corps.
Michael Pearson: It’s not like we didn’t bid anything during Q2. We did bid some Corps projects. We just weren’t the low bidder.
Operator: The next question comes from the line of Trey Grooms – Stephens, Inc.
Trey Grooms – Stephens, Inc.: Just to touch on your last comment, Mike, saying you weren’t the low bidder on some of these dredge jobs and I think you touched on in your comments as well, can you update us on with that are you seeing more aggressive bidding? Is this across the board? Is it more just dredging? Can you just give us a little bit more color on what’s going on there? Also the competitive landscape on the construction side. Are you seeing any new entrants coming into that side of the business?
Michael Pearson: Certainly on the smaller bids we are beginning to see some aggressive pricing which is not unusual when you have down turns in other sectors like the commercial sector. I think on the dredging side specifically obviously we have some competitors that for whatever reason chose to get very aggressive and I assume just to keep equipment working on their side. We have a very disciplined approach to going after work and we are not going to bid below our cost. We are all about margins. We have seen a few let’s just say irrational pricing in a few regions, particularly the western Gulf.
Mark Stauffer: Just to follow-up on that, the pace of the projects drives, if you will, what Mike just talked about? If there is a good flow of work coming out and everybody knows it and they are confident people are going to have full plates it has one dynamic on the pricing. If the pace is sort of slow and again we get into sort of an uncertain budgetary process with the continuing resolutions and if we see lots more of what we saw last year that impacts the pace in which the Corps puts projects out. To that extent there is that sort of uncertainty on the pace that can put pressure on how people price in the margins and I think that is what we are speaking to in the last half of the year. We believe that this could be an issue given it is a political year. The budget process, it is reasonable to believe, it is going to be similar to what we saw last year with a series of continuing resolutions so that could impact the pace in which they put projects out. Particularly in the western Gulf.
Trey Grooms – Stephens, Inc.: You guys have talked about taking some dredges down this year, in the second half, for some heavy maintenance. Did you guys end up doing any of that in the quarter? Also, what is the plan for the rest of the fleet? How long will it take to finish up that heavy maintenance you guys had planned in the ramp up for 2009?
Michael Pearson: Good question. We had three dredges in the western Gulf that we planned to take off service to re-power. One on the eastern side with Subaqueous. We completed one re-powering on the JM and we intend to do the Everett Fisher this quarter, in the third quarter. We also did in the second quarter the re-powering of the 24 inch dredge CK Huggins over in Florida. So, we did have down time for that. We will have the 24 inch dredge in Florida up and running before the end of this month. That leaves us one dredge to be re-powered in Q3 and we’re looking at one dredge to be rescheduled for the first quarter of 2009 because we got a 4-month project on one of the dredges there. We’re still on track to get our re-powering program substantially behind us this year. That certainly had an impact on our utilization for the year as we expected. I think utilization this year will be down from prior years because of all this re-powering. Having said that we will be entering 2009 with more efficient dredges, more modern and reduce our nox emissions and most importantly reduce our diesel fuel consumption.
Trey Grooms – Stephens, Inc.: Can you give us any sort of idea what CapEx is on the heavy maintenance you have planned and how that is modeled into your CapEx thinking for the year?
Mark Stauffer: It was about $5 million program on the re-powers. Actually with the CK Huggins probably about $6.5 million. About $3 million of that is slated to be paid for by the state of Texas under the TERP program (Texas Emissions Reduction Program). So a good chunk of it factored into reimbursed by the state of Texas. $3.5 million or so is factored into the previously announced CapEx numbers and the original amount of $12-14 million range and of course with Subaqueous we bumped that range up $2 million. Those re-powers are all…that is of course net of the TERP reimbursement but that is factored into the numbers we have announced.
Trey Grooms – Stephens, Inc.: Mark, if you have already touched on this I apologize. Could you give us what SSI was in the quarter?
Mark Stauffer: We don’t break that out but I’ll say that they did contribute to the quarter. We are pleased with their contribution and where we are with them. I would say we are also pleased with the year-over-year performance excluding Subaqueous but we haven’t split that out publicly.
Operator: The next question comes from the line of Mario Barraza – Kevin Dann and Partners, LLC. 
Mario Barraza – Kevin Dann and Partners, LLC: I just have a question about your contracts going forward. Are you seeing any contracts being delayed that you have already bid on? How have you structured them to account for say an up tick in your raw materials pricing? Are you guys able to easily pass those along to your customers?
Michael Pearson: Yes, we have been very successful at passing that along. Any job that has a delayed award that is the first thing we look to is our vendor commodity folks, the validity has expired and we adjust accordingly. We haven’t had any material delays in contracts.
Mario Barraza – Kevin Dann and Partners, LLC: Have you guys seen in the bidding process any more traditional highway construction firms coming into the mix? Or have you seen just more bidding entries as of late?
Michael Pearson: The only, I guess, entry we saw this year was one competitor came in and took some port work here in Houston a major project and one I think in Freeport. But you are going to see that from time to time. If there is a wharf that can be built from land it is not unusual to see land contractors show up. Some of these guys have struggled with it and we’ll wait and see how this one does. It is not really a concern to me because we are doing exceptionally well on the land construction side and I think our marine construction subsidiaries are really performing well and we see good markets. You can’t win every job. I have seen on the east coast not any new bidders showing up but we have some of the bidders now getting a little bit bigger on a few select bids. All that does is encourage us to find an opportunity that has less competition. We are very pro-active in doing that.
Operator: The next question comes from the line of Alex Rygiel – Freidman, Billings, Ramsey & Co.
Alex Rygiel – Freidman, Billings, Ramsey & Co. : First, how do the margins in the private dredging business compare to the federal business?
Michael Pearson: It is really not any significant difference. It is a matter of the scope of work and the difficulty and a matter of the amount of competition at the time to make the adjustment. It is not whether the client is private or federal.
Alex Rygiel – Freidman, Billings, Ramsey & Co. : As it relates to acquisitions what does your pipeline look like today?
Michael Pearson: We are still looking for opportunities and there is not anything I can comment on today but we are not idle in that department. It is just a matter of timing but there are opportunities out there.
Alex Rygiel – Freidman, Billings, Ramsey & Co. : Any change in acquisition pricing out there in the market given the credit market turmoil over the last 9 months?
Mark Stauffer: We would anticipate certainly the environment today is certainly different than it was 6 months or a year ago but as Mike said we sort of intend to be opportunistic in looking at what is out there and conduct or look at those opportunities in light of the current environment.
Alex Rygiel – Freidman, Billings, Ramsey & Co. : Could you quantify your revenue from Safety Loop?
Mark Stauffer: That is kind of a difficult thing. We haven’t put that out publicly. If you look for the quarter about 12% of our revenue came from the state sectors and I would say that a vast majority of that is DOT type work. That kind of compares to about 7% in the prior year quarter, 2007 Q2.
Michael Pearson: The types of projects we have been doing consistently with TEXDOT has been more on the repair and maintenance side. We are doing fendering systems where a highway gets hit by barge traffic and we have some projects we have been doing with them in that regard and any time a bridge is in danger of getting a foundation struck that takes priority. So that is the type work we are looking for. The new build bridges has been more active on the Florida side.
Alex Rygiel – Freidman, Billings, Ramsey & Co. : Could you provide us a little bit more color on your end market or customer mix as it relates to 12% from state and continue on from there?
Mark Stauffer: Federal for the quarter was 10%; state was 12%, local government which is predominately going to be port authorities 23%. That sort of compares to last year Q2 2007 of federal 14%, state 7% and local 35%. Then of course as we said earlier the private sector was 55% from the private sector for the quarter and that compares to 44% for the same quarter last year.
Alex Rygiel – Freidman, Billings, Ramsey & Co. : Any break down within the private sector?
Mark Stauffer: The only thing I would say on the private sector is terminal work in the oil and gas sector, private development work and really those are two big categories. Ship docks and related to terminals. Of course private development/marina type work.
Operator: The next question comes from the line of David Yuschak – SMH Capital.
David Yuschak – SMH Capital : As far as your history of working with the Army Corps of Engineers can you just give us your experience as far as having dealt with them many years how variable you have seen that revenue stream coming from them as far as commitments and all that versus the kind of environment you are seeing today?
Michael Pearson: A lot had to do with 9/11 and the war effort that took place. Preparing to go overseas I think was a pretty big distraction for core infrastructure here domestically. I think now with the core infrastructure condition being under the microscope now on capital hill that is beginning to change. Marine waterways have got attention and the bridges have got attention. Corps activity the last couple of years has been I would say last year was more active than this year. We knew this year was going to be about 35% less activity with maintenance dredging but I think we are about to embark on a very exciting time with the Corps of Engineers going forward. Just to give you an example the New Orleans district has just come out with what is called the Sources [salt] document to determine how many companies they can find to draw from because they want to execute about 200 construction projects ranging from $1 million to $750 million and that plan is to award about 134 contracts next year which represents about $5-10 billion of work and it is the kind of stuff we do; concrete pile driving, dredging, back filling floatation channels, etc. All of this is to support the effort to get hurricane protection systems in place for southwest Louisiana and New Orleans by mid 2011. So we are just now beginning to see the effects of the five hurricanes that hit in 2005. That work is going to start getting carried out. What has taken place in the past is really about to change significantly I think going forward. It is just a question of how soon will they release these contracts.
David Yuschak – SMH Capital : The 2007 numbers on the Army Corps, how would that relate as far as level of business you did the last five years? Was that probably the best you have had or have you had years much better than that?
Michael Pearson : 2007 was a great year for dredging but one of our biggest projects was cruise terminals. We did dredging on the cruise terminals. It was the port of Houston and had nothing to do with the Corps. But, I think dredging 2006/2007 was kind of flat those two years and 2005 it was very low and the prior years it was funded poorly because of the war effort. Now we are beginning to see some shifting of military resources back domestically. The Navy has begun a program of developing projects now to ship their forces. We are seeing an enormous amount of construction with military-base realignment closure, a lot of military housing has taken place. They are doing all this to get these places ready for the troops to come back and get more in a cycle of replacing troops overseas and rotating. So all this, I think, bodes well that when we do down men from Iraq there will be a shift of events here. I think looking at the Corps budget for next year I think what a lot of people are looking at is yes the operation and maintenance budget for next year is projected to be about $2.4 billion versus $2.2 this year. Well that is kind of a ho-hum it is going to be flat again. What I think is being overlooked is that there is $5.8 billion that has been authorized for the New Orleans and southeast Louisiana hurricane protection effort and that is really the news with the Corps. The normal maintenance dredging of inter-coastal waterways continues to be flat and I think under funded but I think there is other big projects coming down the pipe with the Corps and we are watching that very closely to see how we participate.
David Yuschak – SMH Capital : The 2007 Corps business was the best you had seen in many years and this year you are seeing it backing off a bit from that kind of level?
Mark Stauffer: I would say in terms of what we are seeing now I’d say that compared to post Iraq that is probably a fair statement. I think the question is for the gulf inter coastal canal type dredging, when do we get back to sort of a more normal phase for that because it definitely was impacted by funding shifts and personnel shifts quite frankly associated with Iraq. It was very disruptive to their processes. They had personnel rotated out overseas. Comparatively speaking that is probably a fair statement.
David Yuschak – SMH Capital : On the dredging side with the re-powering of these units, how competitive do you think you have become and are you seeing others doing basically the same strategy? Because something is going to lower your overall cost of operations. I’m just kind of curious as to how that may affect you competitively and if everybody is doing the same thing do you just go back to a net competitive advantage even though it is going to lower your cost of operation?
Michael Pearson: It does several things for us. First of all it extends the life of those vessels. Some of those engines we are taking out are 30-40 years old. We have essentially put new life into a vessel; dry docked it and extended the life for another 30 years. Secondly, the fuel consumption will go down and that will lower our operating costs. Certainly some of our competitors are doing the same thing, are looking at doing the same thing. Anyone that is paying these high fuel prices that we are right now that doesn’t is missing an opportunity. I do know some of our competitors are initiating similar programs. What I’m really excited about is having the life of that vessel extended and having it more modernized, new and ready to go for the up tick we think will take place with dredging by the latter part of next year.
David Yuschak – SMH Capital : As I look at the dredging business because of the sustainability and keeping that thing out there and running like it is can act as a good base business for you versus moving into construction activities whether it is the bridges and construction over the water and so forth, as you look at both of those because it is a different model and it is a higher margin because you are running that thing constantly and getting good cash flow off of it, I kind of see that as maybe being good base business in recurring cash flow. The other business being kind of other projects you can undertake in the marine infrastructure rebuild. Should we be correct in maybe thinking the other businesses, the major projects may be more of the growth opportunity and the dredging business being more base stuff that grows say 8% a year versus your 15 long-term? Give me a sense of that 15% long-term growth. What is the balance between that versus the rest of your business?
Michael Pearson: I think what we are about to demonstrate going forward is why we want to do an acquisition like Subaqueous because it helps us get turnkey marine construction projects. That is our life blood. It gives us a base to build on. The maintenance dredging will always be there. It is not going to go away. It has to be done year in and year out. We can’t control the pace of Corps funding of maintenance dredging. So having the tools in our hands to go after these larger turnkey projects that do involve dredging has been a real plus for us and I think we are going to reap the benefits of that here in the last part of this year because we are pursuing those type opportunities as we speak and I believe we will get our fair share.
David Yuschak – SMH Capital : Is it fair to say that strategy of having turnkey is really going to be where the 15% growth, more than 15 because your base is still going to be maintenance stuff that occurs all the time? The Subaqueous acquisition is giving you the power right now from a turnkey point of view that you feel optimistic that turnkey is going to be the real key going forward because of what they bring and that you don’t really need right now any material new acquisitions to get that done?
Mark Stauffer: I think you are spot on and that is a fair generalization there.
Operator: The last question comes from the line of Jay Brosnahan – Westpark.
Jay Brosnahan – Westpark: I just wanted to clarify, the Corps work none of this work is going away it is just being pushed out, right?
Michael Pearson: Right. It is pent up demand and they have something like $1.6 billion of projects that have been approved that have never been executed. So that is a lot of pent up demand.
Jay Brosnahan – Westpark: The storms you talked about, will those drive any type of activity of work for you guys?
Michael Pearson: They can. Any time there is a tropical storm or particularly a hurricane that causes inland flooding or siltation of water ways there is opportunity there for two things; one, eventually more dredging work down the pipe and secondly potentially some salvage work with marine cranes. I think what we have seen so far this year the first hurricane that came towards Brownsville could generate something eventually dredging wise. What happened with tropical storm Edouard was really a non-event. It was really just a lot of rain and high winds.
Mark Stauffer: It was a pretty fast mover so I don’t think there was a bunch of flooding associated with that particular storm.
Jay Brosnahan – Westpark: Can you kind of elaborate on your end market opportunities in 2009 that give you confidence in your growth goals and your EBITDA margins?
Michael Pearson: We are seeing some really interesting projects begin to develop with cruise ship terminal expansions. There are about ten new ships being added to the fleet this year and they are some of the largest size ever built and there is a plan for twelve more cruise ships to come on the market by the end of the year. So the cruise ship operators are still optimistic they have a good market and that is going to present some more opportunities for more terminals to be built for more of these ships. Even though we may be struggling here domestically with the de-valued dollar the Europeans are still going on vacation and not staying at home. So, that is still a good market opportunity for us to continue to develop. We are looking throughout the Caribbean region as being a fall back for any shortfalls here with funding domestically. I think the other thing that is encouraging to us is we read a recent document that Stephens, Inc. published that identified about $10 billion of planned spending by 34 port authorities over the next 6-10 year period and that is in eight states we already operate in and I think that is the catalyst of the Panama Canal widening. They are making preparations for that.
Operator: We have no further questions in the queue. I’ll turn the call back over to management for additional or closing remarks.
Christopher DeAlmeida: Alright. I think that wraps it up for this quarter. We look forward to speaking with you guys in about 3 months.